Robert Douglas (ph): Gary Markoff - Unidentified Company
John Dorf (ph): Edward Swartz (ph) - Unidentified Company James Sinclair (ph) - Unidentified Company Robert Casino (ph) - Unidentified Company
Peter Rousiary (ph): Mike Huse (ph) - Unidentified Company
Operator: Thank you for joining us for today’s call, for Vringo’s third quarter 2012 earnings call and business update. Before I turn the call over to the company, we need to advise you of the following: Comments made on today’s call may contain forward-looking statements within the meaning if the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on current assumptions and opinions and involve a variety of know and unknown risks and uncertainties. Actual results may differ materially from those contained in or suggested by such forward-looking statements. Important factors that might cause such differences include those set forth from time-time in the company’s SEC filing, including the company’s report on Form 10-K for the year ended December 31, 2011 and other current and periodic reports the company files with the SEC. At this time I’d like to introduce Andrew Perlman, the Chief Executive Officer of Vringo.
Andrew Perlman: Good afternoon and thank you all for taking the time to join us for a discussion of our financial results of the third quarter, as well as the event subsequent to the quarter end. With me today are Alex Berger, our Chief Operating Officer; Ken Lang, President and Chief Technology Officer; Ellen Cohl, Chief Financial Officer, David Cohen, our Head of Litigation, Licensing and Intellectual Property and Cliff Weinstein, Executive Vice President. We are very pleased with the accomplishments in the third quarter and subsequent events in the fourth quarter. Our merger with Innovate/Protect was completed less than four months ago and we are excited by the milestones we have achieved in that short period of time. Our balance sheet today with over $60 million in cash and zero debt is stronger than it has ever been and we expect that it will allow timely execution of our current business trend. During the third quarter we continued our tradition of introduction under the leadership of Ken Lang and filed nine provisional patent applications, one utility patent, 12 continuations and one continuation in corresponding existing patents. We took our first important step with regards to our telecom infrastructure portfolio we purchased for Nokia during the third quarter and filing a lawsuit in the U.K. against the U.K. subsidiary of ZTE. We also acquired subsequent to the end of the quarter a portfolio patent from quantumStream, consisting of two patents and one application, both relating to the placement of advertisement on web pages via a bidding process. Separately we received a favorable jury verdict against Google and others, which Alex will discuss in a moment. We believe that we have created a unique and powerful business model as a company that creates, acquires and monetizes intellectual property and technology in the mobile online and computing areas. We appreciate the support that our investors have shown to-date. We continue to see a scalable model in what our management team understands and has expertise in, mobile, online and computing. We expect to continue innovating and acquiring intellectual property and technologies in our core knowledge areas as we believe we have demonstrated that the portfolio’s acquired from Lycos, Nokia and quantumStream. We see an excellent opportunity in the intellectual property sector, which in our opinion has become an attractive asset class commanding significant attention on investment. I would like to start on the areas of our company that have attracted the most attention recently. I will now turn the call over to Alex Berger, our Chief Operating Officer and the Founder of Innovate/Protect, to give an update on the location.
Alex Berger: Thank you Andrew. First I will discuss our current litigation against Google and others. As many of you know, we announced on November 6 that a jury in U.S. District Court in Norfolk, Virginia ruled in favor of Vringo’s wholly owned subsidiary, I/P Engine and its litigation against Google, AOL, IAC, Gannet and Target. We are pleased that the jury’s conclusions with respect to validity and infringement, but it’s a very significant win for us and we appreciate the significant efforts of our outside counsel at Dickstein Shapiro. After finding the asserted claims of the 420 and 664 patents were both valid and infringed by Google, the jury found that reasonable royalty damages should be based on a running royalty and that the running royalty rate should be 3.5%. The jury also found that the total of approximately $30.5 million from Google, AOL and others if paid now in cash would reasonably compensate I/P Engine for the defendant past infringement commencing on September 15, 2011. I/P Engine presented evidence at trial that the appropriate way to determine the incremental royalty base attributable to Google’s infringement was to calculate 20.9% of Google United States AdWords revenue, then apply a 3.5% running royalty rate to that base. This vertical is an important milestone in demonstrating the value of our intellectual property portfolio. In light of the jury’s verdict, we are taking the necessary steps to continue the monetization of these assets. We understand that many investors have enquired on the jury’s past damages calculations. Our legal team is currently reviewing the verdict and plans to address all post trial matters with the court. We are currently in the post trial phase of this litigation and we expect motions will be filed with the court by both parties. For example, last Friday I/P Engine moved to court for an award that includes pre judgment and post judgment interest and supplemental royalty advantages from October 1 of this year through the date of judgment. As the prevailing patent holder, as stated in the motion, I/P Engine believed it is entitled to pre judgment interest on the money damages awarded. Consistent with the court’s decision and active video networks via Verizon, I/P Engine requested that the court awards a pre judgment interest. Also as stated in the motion, as the prevailing party, I/P Engine believes it is entitled by statue the post judgment interest. Because of the date of the defendant status action that the judgment is not yet known, I/P Engine requested only an award confirming its entitlement to post judgment interest, not in a particular amount. Lastly, in accordance with the statute, I/P Engine requested an accounting to determine the reasonable royalty damages or supplemental damages to which it is entitled to the defendants infringement after the period for which the defendant provided discovery, specifically from October 1, 2012 through the date of judgment entry. The amount of these damages will not be known until the court orders an accounting of defendant sales through the requested time period. As information becomes available we will keep our shareholders informed. I will now pass the call back to Andrew.
Andrew Perlman: Thanks Alex. I’ll now discuss our telecom infrastructure patent portfolio and the progress that has been made since we acquired the asset on August 9 of this year. I’ll begin by briefly discussing David Cohen’s background. David currently serves as our Head of Litigation, Licensing and Intellectual Property. Prior to joining us David was responsible for Nokia’s successful Global Intellectual Property Litigation Campaign against Apple, which resulted in a reported settlement of $715 million plus ongoing royalties. David oversees all of our IP monetization efforts, alongside with our board of directors, IP Committee Chairman, Don Stout. David has a unique skill set of developing and executing litigation campaigns on a global scale. We believe that there are very few people that have the ability to experience and ability to execute these types of campaigns. This morning we filed an investor presentation that was solely on our recently acquired telecom infrastructure patent portfolio. The presentation can be found on our corporate website, vringoinc.com and on the SEC website at sec.gov. This portfolio was acquired for Nokia in August and consists of over 500 patents and patent applications. The portfolio is a global portfolio consisting of the patents and patent applications issued in more than 10 different countries and territories. The majority of the patents were filed in the late 1990s and early 2000’s when Nokia was at the forefront of building a wireless infrastructure background all over the world. Today this infrastructure enables us to enjoy cellular and smartphone communication via voice calls and data through text, email and Internet. The portfolio is divided into 124 patent families with approximately one quarter of the patents mapping on to its standards. 31 of the patent families have been declared essential by Nokia’s wireless communication standards. The standards represented in the portfolio include those commonly known as 2G, 2.5G, 3G and 4G in our latest technologies. These are also known as GSM, CDMA, LTV and others. An essential patent or standard essential patent is a patent that claims an invention that must be used to comply with the technical standard. Standards organization therefore often require members to disclose and grant licenses to their patents and pending patent applications that cover a standard that the organization is developing. This is important because we believe that it will allow us to create a unique business model with recurring licensing revenue from those standards patent and potentially pursue high value infringement plans. In August we engaged the U.K. based law firm Powell Gilbert and on October 8, 2012 we announced to be filed that the patent infringement lawsuit against the U.K. subsidiary of the ZTE corporation, which is the leading global provider of telecommunications equipment and network solutions. The filing of this action in the United Kingdom is an initial step in bringing those global licensing and enforcement program in the telecommunication sector. Shortly after the end of the third quarter we acquired a small but foundational patent portfolio from quantumStream Systems Inc and Sprout IP LLC. The portfolio consists of two issued patents and one patent application relating to the placement of advertisements on web pages via the bidding process. Next, I’d like to pass the call to Ken Lang, our President and Chief Technology Officer.
Ken Lang: Thanks Andrew. First I’d like to thank our shareholders for their support thus far in pursuing enforcement of the patents that Don (inaudible) and I invented. At the trial in Norfolk, Don and I both gave testimony in front of the jury regarding its story of how we came to develop our invention as it relates to search engines filtering and advertising technology. We feel vindicated that the jury both found our patents valid and that Google and the other defendants were infringing them. Second, I’d like to provide an update on our Vringo Labs subsidiary. Vringo Labs is dedicated to the innovation of new products and technology. During this last quarter we found nine new provisional patents covering a variety of new technology and one patent in the wireless energy space. This latter patent was the result of the collaboration under a new process renovation that we call the Inventor Circle. The Inventor Circle provides the needs for the company’s corporate outside inventors to develop new inventions and share in the development efforts, risk and rewards of those inventions. Third, I want to share our progress towards providing new innovation on top of the portfolio we recently acquired from Nokia. We have filed a continuation part application related to that portfolio that expands its set of inventions covered further in the area of visual rights management and conferencing the system. Its one of our goals here to not just enforce the licensing patent portfolios we require, but to treat them as a platform for inventing new technologies, flat patents and products on top these portfolios and this continuation and part application is an example of the fruits of this effort. Last, I would like to update you on progress in our Vringo Israel subsidiary. In addition to preparing for trial during the last quarter, I’ve had an opportunity to spend time with out project team in Israel and we are continuing to advance the mobile social product line there, working with our partners at Nokia, Orange, Hungama, (inaudible) and Tata DOCOMO. We continue to expand the distribution of our mobile applications. One example is that we signed agreement with Neomobile, a major mobile entertainment service provider in Italy. In addition we have released updated versions of our popular Facetones product to add support for all android devices. I’m particularly excited about the work we’ve done, assessing our core technology assets and capability and charting the course towards several new types of products and make each of those assets in entirely new ways. Some of our recent new patent applications reflect our programs towards those new products under consideration. And now I’ll pass the call back to Alex to discuss the key financial results.
Alex Berger: Thank you, Ken. As of the close of business on November 14, we had over $60 million of cash on hand. We expect these funds will be sufficient to support our current operations and allow timely execution of our current business plans. Net loss for the third quarter was $3.1 million, mainly attributable to a non-operating income of $7.2 million, recorded in connection with the decrease in fair value of warrants, which are classified as a derivative liability, as well as by the impact of non-cash share based compensation expense. Following the conformation of the merger we recorded total revenues of $226,000. The recognized revenue consisted of: Vringo mobile-based product revenue of $76,000 from the date of the merger through September 30, and revenue from a development project of $90,000 and proceeds from a partial settlement of a litigation in the amount of $100,000. On a per share basis, our net loss fell by 83% to a net loss of $0.06 per basic share, compared to a loss of $0.36 per basic share, presented by Vringo in the second quarter. The decrease in basic loss per share was mostly due to an increase in the number of shares and a decrease in the fair value of the warrants classified as a long-term derivative liability, partly offset by increased costs reflecting the post-merger operations of the combined company. As we look to the quarter ahead, we will continue to be judicious with our cash resources and equity. As we have previously mentioned, we will continue to partner with world call law firms and other professionals and will deploy our capital into assets where we see potential for superior risk adjusted returns. I would now pass the call back to Andrew to review some of the key milestones we have passed and the strategic direction moving forward.
Andrew Perlman: Thanks Alex. To reiterate some of the highlights of the last quarter, we completed our merger with Innovate/Protect. We acquired over 500 patents and patent applications relating to telecom infrastructure. We acquired a portfolio of intellectual property from quantumStream Systems Inc. and Sprout IP LLC relating to the placement of advertisements on web pages via a bidding process. We filed nine provisional patent applications created by Ken Lang, our Chief Technology Officer, covering a wide range of technologies. We continue to build on our existing patents by filing 12 continuations and a continuation-in-part in our telecom infrastructure portfolio. We filed a patent infringement lawsuit in the United Kingdom against a subsidiary of ZTE Corporation on three essential patents. We concluded a three-week jury trial in the litigation against Google, AOL and others in U.S. District Court, Eastern District of Virginia, Norfolk Division, where the jury found that the asserted claims of the patents-in-suit were both valid and infringed and that reasonable royalty damages should be based on a running royalty. We signed a final agreement with Neomobile, a major mobile entertainment service provider in Italy. We released updated various of the Facetones product to add support for all Android devices running on OS 4.0 and we raised significant additional capital and repaid remaining non-operating debt, thereby strengthening the company’s balance sheet. In conclusion as we move throughout the year and into 2013 we expect to continue to executive on our business plan. I now want to turn the call over to Cliff Weinstein to make a statement prior to Q&A.
Cliff Weinstein: Thanks Andrew. I want to take the opportunity to tell our investors that we appreciate all of your support and between the emails and phone calls, we do our best to provide the information available to us and appropriately share with you. We understand your frustration when we are not able to share information with you, but as we have stated since announcing this merger, we are in active litigation. Our legal counsel has set boundaries on when it’s appropriate to discuss publicly to avoid impairing the long-term value of the company. As Andrew mentioned earlier in call we continue to have complete confidence in our legal Dickstein Spahiro. There are times such as today that we are unable to discuss our legal strategy as it relates to litigation approval on their customers. We hear each and everyone of your concerns and questions and you can trust that this management team, along with our legal teams are well aware of them and working diligently to provide results. Our intention is to provide updates and answers in a timely manner. I will now turn the call over to the operator for questions-and-answers. Operator.
Operator: Thank you. The floor is now open for questions. (Operator Instructions). And our first question comes from Ashley Teller (Ph). Ashley, please state your question.
Ashley Teller (Ph): Hey gentlemen, congratulations navigating a very impactful quarter. Cliff, I completely understand your statement that you are not allowed to comment on things that are ongoing with litigation. Obviously there are JMOL motions that have to be filed. But I was hopping that you could comment on things that are matter of public record. In particular I think there is some confusion as of the value of 3.5% go forward royalty rate, and if I’m reading the transcript correctly from opening statements, Google itself said that you were seeking $493 million in past damages, but when you add in the 3.5% royalty, the total amount that you are asking for was $1 billion. So without you saying what you think, the 3.5% royalty is worth, is it fair to say from the transcript that Google’s own assessment of what the jury awarded you was about $0.05 billion.
Andrew Perlman: Thanks for the question, Ashley. If your reading whatever’s on the transcript that’s available from the court and contains the opening statements from both partiers, then I don’t think we need to comment any future on this topic, but we definitely appreciate the question.
Ashley Teller (Ph): Got it, understood. And just a quick informational question. You talked about the complaint that you filed in the U.K. with Powell Gilbert. For those of us who aren’t really familiar with U.K. law firms, can you talk a little bit about how you selected Powell Gilbert, what their track record is and enforcement and monetizing IP and just discuss how you force that relationship.
Andrew Perlman: Yes, so its Andrew, I’ll take that question. Powell Gilbert is a specialty IP regulation firm. Most importantly they are after the long relationship there with David Cohen and that they are a trusted partner of his and to answer your question about their track record, they were very, very key to the win that Nokia had against Apple, which was one of the things as I mentioned earlier David managed, but part of it was instrumental to that end result.
Ashley Teller (Ph): Got it, I’ll jump back in the queue. Thanks.
Operator: Thank you. Our next question comes from John Tinker. John please state your question.
John Tinker: Hi, I’m just following up on that. Could you yet again explain to people sort of what it means to file in London? How does sort of timing work in Europe as to contrast that with how it works over here, thanks.
Andrew Perlman: So I’ll pass it over to David, he can answer that question directly.
David Cohen: Yes, so the timing in Europe is much faster here. There is a lot less discovery. There is some discovery in U.K. In other words, there is some information to get from the other side. But in Germany and in the rest of the continent there is no discovery. The cases there tend to proceed rather fast, but I order to be able to file, we have to essentially submit some re-judgment type complaints. The hearing, the case in the U.K. right now, we will anticipate hearing from ZTEs lawyers relatively shortly and then sometime in January the court will set a scheduling conference where the entire schedule will be unraveled, but beyond that, its basically going to be a lots of notions filed back and forth and it’s a similar type of technical analysis in the states, no juries by the way in either locations.
John Tinker: Thank you.
Operator: Thank you. Our next question comes from David Cohen [ph]. David please state your question.
David Cohen: Yes, is there any way to estimate the value of successful litigation and to expect to do say in the next 18 months, which would give the investors a lot better feel for the route that the company is.
Andrew Perlman: Sure so, it’s Andrew. I’ll you an answer to that question. So the same way that as a company we weren’t able to state what our damages number was in the litigation against Google before it was formally entered into the record, there is no way that before these things become a matter of public record that we can actually state what the target advantage number is. I think that there’s been a wide range of speculation and there’s a fair amount of analysis what people have done and can do based on the IP that we owned, but as a company, because again in the case of Google and in the case of ZTE these are activity litigations an you will have to wait until it becomes a matter of public record before the company could every comment on that.
David Cohen: Understood, but its still frustrating to not be able to get some scope feeling of what’s to come in the near to mid-term feature.
Andrew Perlman: Yes, no we still understand that and typically via third parties, whether it’s the analyst or the people in the financial services industry can make comments on that and I’m sure they will and there’s plenty of them on the call today that could do the work and the analysis. So we expect the information to get out there as the case progresses.
David Cohen: Thank you for the information.
Operator: Thank you. Our next question comes from Robert Douglas (ph). Robert please state your question.
Robert Douglas (ph): Yes, congratulations guys. Hello Cliff, a quick question. Can you comment on when the judge may be getting back on this case? I know you can’t talk too much, but everybody is wondering when the judge is going to rule on this situation.
Alex Berger: Hi, it’s Alex Berger. There is no definitive timeline for when the court will enter judgment. There are motions pending in front of the court today like the one I mentioned earlier on the call and we expect there will be more. As the general matter, judges have a lot of leeway entering final judgment. Post verdicts remain rulings and motions outstanding and it’s hard to say exactly when the judge will act. That said, we anticipate a final ruling and entry of judgment within the next few weeks or few months.
Operator: Thank you. Our next question comes from Gary Markoff (ph). Gary please state your question.
Gary Markoff: Can you speak to the only issues that came up that didn’t rule in our favor, which was the latches decision?
Alex Berger: It’s Alex Berger. There is not much that we can say that isn’t already out there. The court decided during the course of the trail that the damage this period would commence on September 15, 2011 as opposed to September 15, 2005. And so with that ruling we proceeded to continue to try the case and the case went before the jury.
Operator: Thank you. Our next question comes from John Dorf (ph). John please state your question.
John Dorf (ph): Hey guys, I appreciate the color. I’m just wondering about the cost associated with the litigation and how those legal fees will be paid back. And then also the arrangement that you have with Nokia as far as their patents and the proceeds from those patents, how you will compensate Nokia in the future.
Alex Berger: Yes sure, its Alex. I’ll speak to the I/P Engine side and then Andrew will speak to the Vringo Infrastructure/Nokia side. With respect to the litigation that I/P Engine has against Google and others, we’ve largely paid in the cash that was in the budget for the trial. There are a handful of post-trial motions pending. If there is any subsequent litigation then we would encore fees associated with that. We typically enter into agreement where we are allowed, depending on the Jurisdiction and by that I mean that this is something that is not as commonly done in Europe. But with respect to the U.S. cases, we entered into agreements with professional service providers from time to time to align their interests with ours by sharing in the recovery from the cases. Some people call these arrangements contingency arrangements. These are what we would classify as partial contingencies, meaning that we are paying in cash and we are getting some of the upside or recovery in the case in exchange. We typically do this when we are also able to enter into budget agreements with the firms, so that when we enter into a new litigation, recognizing that the cost of litigation can be very significant and sometimes hard to predict, that we are also sharing in the risk of the budget with the firms which further keeps their incentive inline with ours. With that, I’ll pass the call to Andrew.
Andrew Perlman: And just to add one thing to what Alex said, as it relates to this notion of partial contingencies, what we have disclosed is that in the case of the Google litigation, our partners meaning law firms and others who have received somewhere between 15% and 20% of proceeds of the recovery if there were to be one. Separately, I’ll move on to Nokia. So in the case of Nokia, when we purchased it, we disclosed that we paid $22 million upfront and that Nokia will receive a 35% revenue share at any revenue that we should generate from the portfolio. I think this actually speaks also to the philosophy of the company, which is something that Alex touched on, which is aligning our interest of those of all of our partners. If they were to look into the Nokia agreement, my view on it is the purchase price slot was very high. It doesn’t speak to the value of the patents, the 35% really does. It ended up in our hands because they though we were the ones that were the best off to magnetize them. Operator Thank you. Our next question comes from Edward Swartz (ph). Edward please state your question. Edward Swartz (ph) - Unidentified Company Yes, thanks for taking the question. As an investor looking at our companies with “valuable” patent portfolio, have you had an independent company come in and analysis your patent portfolio and put a worth on it, because you can’t find those kind entries on a balance sheet.
Andrew Perlman: I appreciate the question. We have not done that and its because we tend to look at the services that do that and the underlining methodology that the services use. Unlike some patent portfolios that might be held by a large company that kind cover certain products where there is a methodology that some describe to as being useful. Here the patents that we have are typically valued by these servers, by looking at things like the number of total references and other metrics that we actually don’t believe are indicative of the value of the portfolio. We think that the value of the portfolio we purchased from Lycos in the I/P Engine case was in part recognized with what happened in Norfolk and so that’s the extent of it. I think that most people that are getting patent valuation worked done would actually be envious of having a real number or a real royalty rate associated with it, because that is a much more clear indication of the value of the a patent portfolio than metrics like number of forward references.
Operator: Thank you. Our next question comes from James Sinclair (ph). James, please state your question.
James Sinclair (ph): Yes, first of all congratulates in Virginia. It was a job well done. I think one of the biggest questions that has been circulating and perhaps its covered in motions that are currently in the court, perhaps its more of an opinion, but the past damages award that was handed down, is there speculation that the jury perhaps made an error in the calculation.
Andrew Perlman: I think the answer is there are speculations. In terms of the company we are not going to comment on that, but there is certainly speculation in the market. We understand that investors want the companies opinion on the way the jury calculated the past damages. We’ve seen the first one and all the calculations that have been made and put out there in the public. All that I’m told to say right now is our legal team is reviewing the verdict and plans to address all post trial matters with the court. Operator Thank you. Our next question comes from Robert Casino (ph). Robert, please state your question.
Robert Casino (ph): Hi guys, congratulations on a great quarter. My question is do you guys have any more plans on issuing shares to help finance litigation, either though private placement or thought the normal means.
Andrew Perlman: Yes so, its Andrew, I’ll take that one. So right now as we have sated, we have more than sufficient resources to accomplish all the goals that we have set out to do with the company. So right now we would say that we are ideally positioned. I think I’ll actually leave it with that.
Operator: Thank you. Our next question is from Kevin Pamasali (ph). Kevin, please state your question.
Kevin Pamasali (ph): Yes, my question relates to the infringement in the U.S.; Google’s infringement in the U.S. versus the rest of the world. Well, I recognize that these patents are in the U.S. Isn’t it possible that the actually infringement by Google for ad works ex-U.S. could have occurred in the U.S. in service farms within the U.S. I don’t understand why there’s no US infringement for foreign ad revenues.
Alex Berger: Its Alex Berger, I’ll answer that question. In the course of the litigation we went through a discovery process. We reviewed the applicable statute and we reviewed the applicable law with respect to this issue and our attorneys in combination with our expert witnesses who testified the trial, analyzed the appropriate Google revenue data and determined what the appropriate royalty base would be and its generally described as Google U.S. revenues. So we are sensitive to the issue you’ve addressed, which is that you want to make sure that I believe we are looking at all of the potential sources of what could apply to the patent and we believe that we did.
Operator: Thank you. Our next quest comes from Jonathan Arch (ph). Jonathan please state your question.
Jonathan Arch (ph): Hey, great quarter guys. Obviously you cannot comment on the present and the future on so many types of trials I think. But, are there any kinds of settlements on label that are in trial.
Alex Berger: It’s Alex Berger again. As we’ve mentioned in the past that we don’t comment on settlement discussions with respect to any of our patents and portfolios.
Operator: Thank you. Our next question comes from Peter Rousiary (ph). Peter, please state your question.
Peter Rousiary (ph): Hi, great quarter guys. I had a question, I don’t know if you can answer this or how you can, but are any of your patents being infringed on by Yahoo or Microsoft?
Cliff Weinstein: Okay, its Cliff Weinstein, how are you doing? Our company policy - we would imagine any company in litigation is not going to preview our legal strategy, which could potentially impact our current or future litigations and the long term value of that company that we are trying to build. With that said, the IP Engine, the Google verdict was an important milestone in demonstrating the value of these patents. In light of the jury’s verdict, we are taking the necessary steps to continue the monetization of these assets.
Operator: Thank you. Our next question comes from Mike Huse (ph). Mike, please state your question.
Mike Huse (ph): First off, congratulations to all. Can you speak to any long-term goals or long-term opportunities that will increase shareholder value outside of ring tones and I/P patent litigation.
Alex Berger: Yes, it’s Alex Berger. I’m sitting here at the table with my colleagues and that includes first and foremost Ken Lang, David Cohen and Andrew Perlman and several others. As we out lined on the call we’ve been executing on our plan to acquire additional intellectual property that we think is valuable. Ken has been working with things that have been holding out here in the U.S., that includes outside in centers that will being their ideas to the company to assist them in developing new technologies and with our team is Israel that’s been working on mobile applications. So we see a bring future ahead in each of these areas as we continue to build them out. Andrew reminded everyone at the beginning of the call, the merger took place about four months ago and we think we have accomplished a lot since and we look forward to doing more, since we continue to build the business together. Operator Thank you. There are no further questions at this time. Andrew, do you have any concluding remarks.
Andrew Perlman: I just like to thank everybody for participating on the call. We look forward to speaking to many of you in the coming days and weeks and of course, still please feel to reach out to us or the company with any specific question.
Operator: Thank you. This does conclude today’s teleconference. We thank you for your participation. You may disconnect your lines at this time and have a great day.